Operator: Good morning, ladies and gentlemen. Welcome to Western Forest Products’ First Quarter 2022 Results Conference Call. During this conference call, Western’s representatives may make forward-looking statements within the meaning of applicable securities laws. These statements can be identified by words like anticipate, plan, estimate, will and other references to future periods. Although these forward-looking statements reflect management’s reasonable beliefs, expectations and assumptions, they are subject to inherent uncertainties, and actual results may differ materially. There are many factors that could cause actual outcomes to be different, including those factors described under risks and uncertainties in the company’s annual MD&A, which can be accessed on SEDAR and is supplemented by the company’s quarterly MD&A. Forward-looking statements are based only on information currently available to Western and speak only as of the date on which they are made. Except as required by law, Western undertakes no obligation to update forward-looking statements. Accordingly, listeners should exercise caution in relying upon forward-looking statements. I would now like to turn the meeting over to Mr. Don Demens, President and CEO of Western Forest Products. Mr. Demens, please go ahead.
Don Demens: Thank you, Patrick, and good morning, everyone. I’d like to welcome you to Western Forest Products 2022 first quarter conference call. Joining me on the call today is Stephen Williams, our Executive Vice President, Chief Financial Officer; and Glen Nontell, our Vice President, Corporate Development. We issued our 2022 first quarter results yesterday. I’ll provide you with some introductory comments and then ask Steve to take you through a summary of our financial results. I’ll then follow Steve’s review with our outlook section before we open the call to your questions. Before we begin, I’d like to recognize our team at Western for their continued dedication to health and safety. Their efforts delivered another quarter with no COVID workplace transmissions or downtime. This result is a testament to our strong safety culture and commitment of our people. Financially, I’m pleased to report that our results were a first quarter record for the company. We capitalized on strong markets to overcome ongoing logistics challenges that impacted shipment volumes to generate record first quarter adjusted EBITDA of CAD65 million. Operationally, we successfully began to rebuild log inventories that were depleted due to difficult harvesting weather in the second half of 2021. We achieved this through a combination of accelerated log harvest and increased open-market purchases. Of note, we purchased almost 50% more logs in the first quarter of 2022 as compared to the same period last year. Our continued strong results have allowed us to reposition our balance sheet despite our increased investment loss. We ended the first quarter with CAD75 million of cash in our balance sheet, and we also have approximately $128 million in duty deposits with the U.S. Treasury. Combined, these provide us significant flexibility to continue with our balanced approach to capital allocation. In support of returning capital to shareholders, we completed our 10% NCIB in January. Through the NCIB, we returned a total of CAD61 million to shareholders. And we just announced a 25% increase to our quarterly dividend. In addition to our strong financial results, I’m pleased with the progress we have made in advancing relationships with indigenous nations. In the last quarter, we continued to advance our milestone agreements focused on joint and collaborative planning of forestry activities with indigenous nations in new traditional territories we operate. We believe our demonstrated leadership in advancing reconciliation with indigenous nations is consistent with what the BC government is hoping to accomplish through its policy modernization. I will now turn it over to Steve to review our key financial results.
Stephen Williams: Thanks, Don. My comments will focus primarily on our financial results for the first quarter of 2022 with comparison to the first quarter of last year. We reported first quarter adjusted EBITDA of CAD65.4 million as compared to CAD62.9 million in the same quarter last year. Results from the first quarter of 2022 benefited from higher lumber and log prices and a higher specialty lumber sales mix. Results were offset by lower lumber shipments due to logistics challenges, lower log shipments, higher export tax and stumpage expense and higher per unit timberland harvesting cost due to accelerated road building and mix of operations. Lumber revenue increased 13% compared to the first quarter of 2021. Higher lumber prices were partially offset by lower shipment volumes due to logistics-related disruptions. Our first quarter average realized lumber price was CAD1,688 per thousand board feet, an increase of 24% compared to the same period last year. Log revenue was generally flat compared to the same period last year, with higher log prices being offset by lower shipment volumes. All export grade logs were redirected to our sawmills to support lumber production. Byproduct revenue was generally flat compared to the same period last year. Increased chip price realizations were offset by lower chip shipments. Freight expense increased 14% compared to the same quarter last year. Lower lumber shipments and no export log shipments were more than offset by increased freight rates, higher fuel costs and greater usage of breakbulk vessel shipments. First quarter results included CAD11.5 million of export duty expense as compared to CAD8.2 million in the same quarter last year. At the end of the quarter, we had approximately $128 million of duties on deposit. Lumber production was 12% lower compared to the same quarter last year due to operating curtailments related to log supply and differences in the net nominal production count due to product mix. Log production was 9% higher, and we increased sawlog purchases by almost 50% compared to the same quarter last year. We were successful in partially rebuilding our log inventory and ended the quarter with approximately 764,000 cubic meters of logs. From a profit-loss perspective, first quarter net income was CAD38 million as compared to CAD53.8 million in the same quarter last year. Looking at first quarter cash flow and capital management, cash provided by operating activities before changes in non-cash working capital was CAD8.1 million as compared to CAD66.3 million in the same quarter last year. The first quarter of 2022 included income tax payment of CAD58.4 million related to 2021 income taxes and a 2022 income tax installment. Cash used in investing activities was CAD6.3 million in the first quarter as compared to cash provided by investing activities of CAD33.4 million in the same quarter last year, the first quarter of 2021 included proceeds of CAD37.7 million on asset dispositions. We returned CAD10.6 million to shareholders during the quarter via dividends and share repurchases, and we completed our 10% NCIB in January. We ended the quarter with CAD75 million in net cash and CAD316 million in available liquidity. Don, that concludes my comments.
Don Demens: Great. Thanks, Steve. So let me start off our outlook section by touching on second quarter seasonality. Typically, in the second quarter, our harvest volumes increase as snow recedes and expand operations across the entire timber harvesting land base. As our harvest activity moves further up the hillsides, our costs tend to rise with more difficult terrain increases harvesting complexity. From a market perspective, North American lumber consumption typically increases as we move into the more active spring season. As we look to our markets, in North America, we expect to experience continued strong demand from all segments. We believe strong demand for lumber products combined with constrained supply will deliver above-trend pricing over the near term. We note that any supply/demand imbalances are likely to lead to increased pricing volatility in the months ahead. We expect pricing to remain strong for our Cedar, Japan and Niche specialty products segments. That said logistics constraints remain a challenge with inadequate rail and truck capacity in Western North America limiting market access. On the export side, we recently experienced an improvement in container availability. Our conditions remain uncertain, and the current COVID challenges in China could cause disruptions in the months ahead. We’ll continue to leverage our flexible operating platform to match production to market demand and logistics capacity. With respect to logs, we expect the sawlog markets to remain strong due to a combination of reduced supply and strong demand, while pulp log prices are likely to remain relatively flat. We will look to further build our log inventories in the second quarter. However, as we do so, supply imbalances may lead to downtime at certain sawmills. Turning to industry developments, we remain optimistic with the long-term growth opportunities for wood as a sustainable building material. In North America, mass timber building presents an opportunity for increased wood use as a sustainable building product. For context, Woodward estimates that there are currently over 1,300 mass timber projects built, under construction or in the design phase in the United States and third-party research estimates mass timber building has the potential to add over 4 billion board feet of lumber demand in North America by 2035. We believe many of our existing products are well suited for use in the mass timber segment and should benefit from future sector growth. Over the last several years, we have been exploring how we can best participate in this growth opportunity. Our work is included completing various tests and trials for our hemlock products in both CLT and glue-laminated beam end users. We continue to explore additional strategic capital investment opportunities to support product lines, which are utilized in mass timber buildings. Overall, we believe mass timber building in North America will continue to gain momentum as the world looks to reduce its carbon footprint. And we will continue to advance how we can best capitalize on this growth. Turning to capital allocation, we remain committed to a balanced approach to capital allocation, maintaining the flexibility to support growth initiatives while returning cash to shareholders. Over the past decade, we’ve returned about CAD0.5 billion to shareholders through dividends and share repurchases, while at the same time, we’ve invested another CAD0.5 billion into our business. As I noted in my opening remarks, we completed our 10% NCIB during the quarter and we also announced a 25% increase to our quarterly dividend. At the same time, we continue to evaluate both internal and external strategic capital opportunities. Internally, we’re focused on reducing our costs as we pivot commodity production from Asia to North America, and we’re focused on investments that support product line growth. This quarter, we’ve approved two small quick payback capital projects. One will increase our kiln dried production by about 10% through the introduction of new kiln control systems. And the other is the installation of an MSR machine at our Duke Point plant. Both projects should be operational within a year and were included within our yearly capital – our yearly strategic capital envelope. In addition to these projects, we are continuing to look at other internal investments, which will increase our current capacity, reduce our operating costs, increase recovery or support or move – or support our move up the product value chain. While we’re focused on investing in our existing operations, we’re also looking to grow through acquisitions. Acquisitions may include both capacity expansion and capital invested to support targeted product line growth. Overall, we expect to remain balanced and disciplined in our approach to capital allocation. For 2022, we continue to estimate total capital expenditures of around CAD60 million to CAD65 million. This includes approximately CAD15 million in strategic capital investments and CAD10 million in 2021 maintenance CapEx that was delayed due to supply chain issues. Turning to what’s next. Our top priority continues to be the health and safety of our employees, contractors and communities and in working collaboratively with indigenous nations. Our long-term focus remains the same: to successfully and sustainably implement our strategic initiatives, to strengthen our foundation, grow our base, grow our business and deliver long-term shareholder value. So with that, operator, you can open up the call to questions.
Operator: Thank you. [Operator Instructions] We have a question from Sean Steuart from TD Securities. Please go ahead.
Sean Steuart: Thank you. Good afternoon, guys.
Don Demens: Good afternoon, Sean.
Sean Steuart: A couple of questions. Don, I appreciate your comments on transportation bottlenecks persisting. And it sounds like offshore, you mentioned that things were getting a little bit better. Any sense at this point on when you might expect to see things improve at a faster pace and ability to move products a bit easier? How – at what point during the course of the year do you expect that should be more prominent?
Don Demens: Sure. Let me take a run at that. So we will kind of differentiate between export and domestic. I think domestically, we’re seeing some real challenges with railcar capacity in the West including out of our shipping hubs out of Vancouver and truck actually. We had a unique opportunity last week to talk to a number of the rail companies as they were in [indiscernible]. They did not provide a great outlook as to how quickly this – the situation here would be – would improve. I think we’re looking from Sean kind of more towards the end of the year, where they might be able to get caught back up and provide a more regular service to, I think, all of their forest products customers in the West. Export-wise, we’ve implemented the use of more breakbulk vessels, especially to get our products to Japan. I think you saw we had a big increase compared to last year, same quarter in our shipments to Japan. It’s a little higher cost for sure. But I think that’s how we’re trying to deal with some of the challenges we’ve got coming out of – on the container at side of export. So it’s not been a very fun time here or – and then the logistics challenges, I think, are going to be with us at least through the next quarter.
Sean Steuart: Thanks for that detail, Don. And second question I have, just digging in a little deeper on the capital allocation part of this. So you finished the NCIB, you’ve raised the dividend. It sounds like near to mid-term CapEx needs are manageable and M&A, I suppose, is a potential. But fair to say that the bias would be to look at another NCIB relatively soon and further buybacks would potentially be on the table?
Stephen Williams: Yes. Well, I think the kind of way we’re looking at it, so maybe a back half, like you’re right. I mean, over the last 12 months, we’ve returned something like almost CAD120 million to shareholders via dividends and share repurchases. You’re right. We increased the dividend back up or increased it by 25%. I think you want to think about that as we’ve returned it to leave the total dollar amount, it was prior to us repurchasing shares. I think as we look forward, we’re going to maintain flexibility on – in our return of capital alternatives. We will continue to discuss with our Board. Could an NCIB be in the works for later or mid part of the year? Absolutely, Sean. But we’re going to continue to look at ways to support growth in our business, remain balanced in our capital allocation, and we will look at it each quarter.
Sean Steuart: Okay, thanks, Don. I appreciate it. That’s all I have for right now. I will get back in queue. Thanks, guys.
Don Demens: Thanks, Sean.
Operator: Thank you. [Operator Instructions] The next question is from Paul Quinn from RBC Capital Markets. Please go ahead.
Paul Quinn: Yes. Thanks very much. Just a question just on the lumber side. You shipped 186 in the quarter. Just wondering how much inventory was built on the lumber side? And what’s our expectation for Q2?
Don Demens: Sure. Good afternoon, Paul. So inventory build wasn’t a whole bunch, it’s kind of pretty flat from quarter-to-quarter, but I would like to tell you it’s too high. So we are continuing to manage the inventory. We have – and it’s all around logistics challenges, I think as the previous question. We’re going to continue to manage our production to our ability to obviously get orders, but I think that’s – we’re able to do that just to be able to move the lumber. We have all taken a couple of weeks out at a couple of the small log mills this last quarter to try to get the inventory down. And so we’re trying to manage the situation on logistics. We’d like to see the inventory lower, kind of close to around 100 million feet. I think we’d like to see it in the 70 million foot range going forward and we’re going to work towards that. We did hit 185, 186 million feet of shipments in Q1. That was up from Q4, we’d expect it to be there or better in Q2.
Paul Quinn: Okay. That’s great. And just on the markets, it looks like through Q1 western red cedar prices have moved up pretty flat. Maybe you can just comment on what you’re expecting going forward for those two markets?
Don Demens: Sure. Well, and I think I’ll [indiscernible] there as well. So any of the specialty product lines, we’re looking at both specialty and cedar and then, of course, as well as Japan staying strong and relatively strong historically. I’ll try to break them down. Cedar, we’ve seen lots of tailwinds in the R&R sector over the last period of time. That’s when a lot of the cedar ends up. We’re expecting to continue to see good demands in that segment. I can tell you the weather, as you know, living out here in the West. I think it’s been pretty soft. And so when the R&R demand side of the business has been a little spotty, but we’re expecting as the weather breaks for things to get better. So we’re still holding on our view that pricing is going to stay firm. Volumes may be a little different, but pricing state firm. Japan, the only headwind there tends to be the end has weakened tremendously. However, I think supply is constrained as well with some recent developments, and we’re looking forward to continued good demand out of Japan and strong pricing and the niche market has been very, very good. So all in all, our specialty segment should be strong to firm pricing for the quarters – for the quarter coming up. And there may be a little bit of just on the demand side only related to some weather. And I think that’s just a delay. That’s not a lost volume.
Paul Quinn: Okay. And then last year, in Q2, you had a record quarter, prices are up since that point. What are the impediments of trying to get back to that CAD120 million in EBITDA level?
Don Demens: Yes. I think number one is going to be shipment volume, right? So that’s going to be a challenge and also from a cost perspective, as prices have gone up for the year just in a number of our segments and you are well aware of the differences between the coastal and interior stumpage system. We’re going to see higher stumpage rates compared to last year for sure. And I think we’ve all – we’re all facing in the industry cost pressures, whether it’s on steel, freight, fuel. So I think those are the big impediments. Number one will be volume. And then number two will be stumpage and then three would be just general cost inflation that is going to cause us some problems. I will let [indiscernible] I think as you know, I haven’t been in the business a long time. This is one of the best environments from a pricing and product demand and supply position. So we’re hopeful that the market can absorb some of these additional costs.
Paul Quinn: Alright. And then not to suggest you’re not doing a good job, Don, but I just wanted an update on the CEO event.
Don Demens: Sure. Thank you. So I think the Board is taking their time to go through their process. I have provided a long time line in that. And to reiterate, I’m not going anywhere in the foreseeable future. It is business as you saw here at Western and we are here to drive the best results we can safely and provide the best return to shareholders.
Paul Quinn: Alright. That’s all I had. Thanks, guys.
Don Demens: Thanks, Paul.
Operator: Thank you. This concludes today’s question-and-answer session. I would like to turn the meeting back over to Mr. Demens.
Don Demens: Great. Thank you, Patrick and thanks everyone for your continued support. We appreciate your interest in the company and your time on the call today. Steve, Glen and I are available if there is other follow-up questions. And if not, we certainly look forward to sharing with you our second quarter results in August. With that, have a great day. Thank you very much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and thank you for your participation.